Operator: This conference call may contain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. The words believe, expect, anticipate, intend, estimate, should, may, could, will, plan, future, continue and other expressions that are predictions of or indicate future events and trends that do not relate to historic matters identify forward-looking statements. These forward-looking statements are based largely on our expectations or forecast of future events, can be affected by inaccurate assumptions and are subject to various business risks and known and unknown uncertainties, a number of which are beyond our control. Therefore, actual results could differ materially from the forward-looking statements contained in this document, and readers are cautioned not to place undue reliance on such forward-looking statements. Digital Ally will undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. A wide variety of factors could cause or contribute to such differences and could adversely impact revenues, profitability, cash flows and capital needs. There can be no assurance that the forward-looking statements contained in this document will, in fact, transpire or prove to be accurate. Ladies and gentlemen, thank you for standing by and welcome to the 2020 Second Quarter Operating Results Conference Call. All lines are currently in a listen only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] It is now my pleasure to hand the conference over to Mr. Stan Ross, CEO. Please go ahead, sir.
Stan Ross: Thanks, Nicole. Thanks everybody for joining us today. I also have Tom Heckman, our CFO with us today that'll do a real quick recap of the numbers. But before Tom jumps into the numbers, I think that this has been quite an amazing 90 days for the Company. From what we've seen in regards to the demand, in regards to law enforcement, body cameras and in-car systems, to us being successful in retaining EPA approval and FDA approval on a lot of our disinfectants and cleansers to also being able to develop and assist with the ThermoVU unit, which has been very exciting in regards to hopefully assisting and helping all of us get back to school, back to work and back to safe environment. We've seen a tremendous amount of inquiries on the law enforcement side and tremendous amount of current bids that are out there or RFPs that we've responded to. I think you all have seen the press releases in regards to let's call it the Shield products, which is the liquids and the ThermoVU, how well it's done already for as -- it's very, very, very short existence in regards to our marketplace. And I think Tom's going to elaborate on that as well. But -- and then the balance sheet. I guess, right place, right time, tremendous amount of warrants were exercised as well. So Tom will elaborate on that. But, you could tell we’re in a very, very good position, very strong position with our balance sheet to go ahead and continue to take advantage of two programs that we launched, both of them being subscription agreements to try to assist our first responders in regards to the products that they need and still the shortfall of capital that sometimes takes a little bit of time to get into the marketplace. So, we've been able to implement a program that was not only just for body cameras on a monthly basis, but also the in-car system. And I think you may have seen the small Tweet that went out earlier this week in regards to a department that did take advantage of the system as far as the in-car and body cameras. So, we continue to do that; we continue to have our marketing partners out there and utilize this program, very excited that the DANA Group joined us. That will give us a tremendous amount of coverage. With the limited amount of travel that is happening now to sit there and have as many locations as they do throughout the country and the personnel, in other words, boots on the ground within those regions and relationships, we have some real high hopes and expectations out of this partnership, along with all our partnerships, with -- glad to see NASCAR is back at it. And we're right in the middle of helping them. Obviously the indie teams are back at it. We're seeing the NFL still coming around. There are teams that are still looking at having individuals at the facilities. So, we have a real nice opportunity, not only to utilize the body cameras in those environments, but also the disinfectant and cleansers as well to assist there. But, I'll quit rambling here and let Tom jump into the numbers.
Tom Heckman: Thank you, Stan, and welcome everybody. I appreciate you joining us today. I do want to let you know that we filed our Form 10-Q earlier today and please refer to that for a complete rundown of the quarter and the various items affecting the Company. What I'm about to go over is merely the highlights, things that I'd like to point out. But certainly, the 10-Q is the best place to go understand what's going on in its totality. Obviously, the second quarter was immensely affected by the coronavirus, and I would say, for the most part adversely. But, I don't want to overlook some of the good things that happened because of the coronavirus and our response to it. So, I guess from the top-line, our hardware sales were down 46%. That's a pretty large percentage, obviously. And I would say it's mainly because of customer delays. It's -- we're certainly seeing a large uptick in RFPs, and interest and calls and all that. But on the same -- on the other hand, we can't travel to do the installs, we can't travel to do the training. And with what's been happening with our police forces and that, their attention is diverted elsewhere and in some cases even their funding is limited. So, I'm not saying that everything is okay with it, but these are delays, in my view, not lost sales that won't ever occur. Not the least of which is that international sale that we announced earlier this year, up to 5,000 units, body-worn cameras would have been the largest order for body cameras in the Company history. That is in delay status. The particular country that we're dealing with there is particularly hard hit with, with the coronavirus. And obviously, their attention is diverted elsewhere. And I just don't see that delay not continuing for a while, hopefully by the end of 2020, if not, hopefully into 2021, and we can pick that back up. But, it is in pending status and we're not completely sure where that is headed right now.  One good point is that our service revenues continue to trend up. Total service revenues were 13% higher than a year ago quarter. And I think that's merely because we're focusing on services rather than hardware sales for obvious reasons. Our margins are much better in the service area. But, on the second hand, as Stan alluded to, we're now offering subscription plans for both in-car systems and body-worn cameras, and that has been pretty popular, and it's much easier for police department to go out and enter into a yearlong contract or two-yearlong contract for services, rather than a CapEx side and where they commit to a product for a number of years. So, we're seeing an uptick in service revenue. I think it's going to continue for the balance of 2020. And it is part of our overall plan to move more towards a service-based company. Because of the coronavirus, we took immediate action on expense side. We immediately reduced headcount in certain areas. We pretty much eliminated travel. And we also looked at our facilities. We were at the end of our lease at the place we were at previously, and we took the opportunity to move to new and smaller facilities. And as a result of that, a couple of things happened. Number one, we're going to have about a $400,000 decrease in facility costs because of the move. We really picked up a nice location at a nice price and we got six months free rent enticement at the beginning. The second part of it is, and you probably noticed in the cost of goods sold on products, we -- leading up to the move, during the move and then unpacking after the move was all expensed. So, our manufacturing variances -- we just didn't manufacture anything during that time period, obviously, because of the move, and our manufacturing variances, we expensed through cost of sales. And you saw a pretty large uptick in cost of goods sold on the product side.  Beyond that, if you look at total SG&A and excluding a $6 million WatchGuard settlement that was included in last year’s second quarter, exclude that from results, our total SG&A was decreased by $1.8 million for the second quarter of 2020 versus the prior year. That's a 42% reduction. So, obviously, we did some good things on the expense side and we expect that to continue through the balance of 2020. Stan also talked about, and I think we've been putting out a few press releases on the two new branded products that we introduced to the market late in the second quarter. And that's really a direct result of what was going on with the coronavirus. The first item is our Shield disinfectants. It's our own brand of disinfectants and sanitizers. And it's showing some pretty good traction in the marketplace and we expect that to be a long-term revenue driver for us. The second item is what we call the ThermoVU. It's a self-contained temperature screening and monitoring device that has an audible alarm when someone comes through that -- their temperature exceeds a preset threshold. So, it's a very advanced product. We do not manufacture it. We have a third-party manufacturer on that. And quite frankly, we've been struggling getting the supply chain up quickly because of the demand that we're seeing out there for that product. It is a shift in from overseas. So, we have had a three or four weeks of ramp-up in production. We're starting to get commercial quantities in, and we're seeing the effects on revenue. In total, revenues because of the -- primarily because of the two new branded products, our Q3 revenues already exceed our Q2 2020 revenue. So, on a sequential basis, our revenues are going to be much higher in Q3 than they were in Q2, although Q2 was obviously adversely affected by the coronavirus. And again, that's primarily the results of the two new branded products, ThermoVU and the Shield product. But, I think also, the subscription plans for both body-worn cameras and in-car systems is also -- have effect. I think, the marketplace is really, really adopting that trend for us and it's going to help in our service revenues. If you look at our balance sheet, we did a complete restructuring of our balance sheet during Q2. Some of it was intentional. We intended to do it, some of it was really situational. We had a high uptick in our market price during the quarter. And we used that to do a couple of offerings off the shelf that improved our cash position. And if you look at our June 30 balance sheet, we now have $16 million worth of cash in bank, $16 million in cash, which we haven't had them number of years. So, it's really nice. In addition to that we have almost $15 million of positive working capital. We also applied for and received a $1.4 million PPP loan to the SBA program, the CARES Act, the SBA program, and a $150,000 EIDL loan, which is a 30-year amortization loan at like 3%. Because of the parameters around the CARES Act and the PPP loan, we do believe that most if not all of that PPP loan will be forgiven in the third quarter. And again, that's about $1.4 million, a little over $1.4 million of debt that will likely be forgiven, or at least a majority of that forgiven in the third quarter. If you look at our stockholders’ equity section, we’ve really done a turnaround there. At the end of the second quarter, at June 30, we had $13.3 million of positive stockholders’ equity, compared to a deficit at year end 12/31/2019 of $6.3 million, so almost a $20 million reversal or improvement in our stockholders’ equity, which is obviously something that we're pretty proud of. Reason that happened again we took -- undertook two stock offerings which raised net proceeds of about $10.3 million during the quarter. We did issue $1.6 million convertible debt during the quarter that because of the ramp-up in the market price of stock was fully converted within the quarter. So, we issued the convertible debt in the quarter, and it got converted during that quarter as well. So that added to our stockholders’ equity. And then, thirdly, and because of the uptick in the stock price, we had almost 5.2 million of proceeds from the exercise of warrants during the quarter. So, obviously, some good things happening there and our balance sheet is now very, very strong, and probably as strong as it's been for a number of years, five, six, seven, eight years. I can't remember the last time we had that amount of cash on the balance sheet with the equity and working capital that we do. So, it's, it's really a proud accomplishment of us. Now, that will hopefully lead into better revenue numbers as well because we're not foolish to think that our competitors haven't used our balance sheet against us in competitive situations out there. Now, instead of that being a liability, it's an asset for us because we are so strong balance sheet wise with a lot of cash, a lot of capital, and a lot of working capital. And because of the changes we did on the balance sheet during the quarter, we cured our NASDAQ listing issues, we did not at one point during the quarter meet the $1 minimum bid requirement as well as a $2.5 million stockholders’ equity requirement, because of the offerings and the turnaround on our stockholders’ equity we now meet and extend well exceed both of those and we don't see those being an issue for the foreseeable future. If you -- once you look at the 10-Q, you'll notice a couple of subsequent events that happened after June 30. I'd like to touch on just a little bit. First of all, we acquired a 6,000 square-foot warehouse or are in process of acquiring a 6,000 square-foot warehouse, very close to our new warehouse and office quarters. And that's primarily to be used for the distribution center of our ThermoVU and Shield products. Those things take a lot of room and we need some logistics and distribution capabilities that we just could not put in the facility that we had. And quite frankly, we couldn't have even done it in our previous facilities. So, it was a must for us. We found a good property, very close to our current office facilities and our purchase price is $420,000. So, certainly, an affordable price for something that we believe is going to be a big revenue driver for us in the future. One thing that you will also notice is that we were able to negotiate a termination of our litigation financing agreement with BKI. If you remember, BKI loaned us or gave us $10 million in litigation financing. I think, it was in 2017, to be paid out of revenues or settlements or court awards out of the Axon and WatchGuard litigation. We did pay them $6 million from the WatchGuard litigation last year. The Axon litigation, because of some of the adverse court rulings that we received, now, it does not look like it's going to pan out from that standpoint. So, we took the opportunity to go to BKI and negotiate a termination and settlement. And what we came away with, we agreed for a full settlement and satisfaction of that obligation for $1.25 million payment, which we've already paid. So, we've settled that and terminated that agreement of $1.25 million. So, if you count up the numbers, they provided us $10 million in funding and we paid back $7.25 million of that obligation. So, over the life of that obligation, we're going to have made $3 million or roughly $3 million on that financing. Also, and as kind of a contingency in that contract, there is a $2.75 million payment, if we were to completely and successfully acquire a specific company that was named in the termination agreement. That's unlikely at this point. And I think it was out there just to -- if we work to do that, then they wanted part of that transaction, and it was $2.75 million. So, that contingency is out there. But again, it's very unlikely that that transaction will happen at this point. So, at the end of the quarter, June 30, we had $3.6 million recorded as an obligation to BKI, pursuant to the litigation financing. We settled that for $1.25 million. So, we’re likely to see some income, a gain, if you will, in the third quarter and potentially the fourth quarter as we reduce that obligation down to the amount that we've already paid, $1.25 million. So, overall, the second quarter was impacted by COVID-19, both negatively and positively. But, we believe we took that opportunity to cut our costs, which we did strongly and decisively by our move, and also some of the other headcount reductions and other cost reductions we've done in SG&A. But more importantly, we've expanded our product offerings to include the Shield and ThermoVU products, which I think Stan and I both believe will be major revenue drivers for the balance of 2020 and hopefully into 2021, as we go forward. And with the termination of the litigation financing, our balance sheet -- and as well as the PPP loan forgiveness, our balance sheet is only going to get stronger in the third quarter, as a result of those transactions. So, with that, I'll turn it back to Stan.
Stan Ross: Thanks, Tom. And just real quick, because I know that we received a lot of emails over the last 60 days, let's call it and that we want to address the questions that you have out there. But again, I want to emphasize, what needs to be taken away, as tough as the second quarter was for so many people in our industry, we were able to do a lot of things that should be looked at on a very positive, whether it be the service revenues up 13%, whether it be the RFPs probably at one of the highest levels that we've seen as a company, definitely far as many agencies and as many -- at the dollar amount too is quite large in regards to what we have out there. And August 1st is a key date in regards to a lot of law enforcement agencies in regards to their budgets. So, we're very optimistic to start seeing impact of firms that came in on the federal front and with our program on how it could greatly impact the third and fourth quarter, and again, would not -- I want to emphasize, and hope Tom -- everyone heard Tom's comments in regards to just Q3, and granted Q2 was greatly affected. But Q3, to set there, we're highly confident already at the point we believe that have already surpassed Q2’s numbers as far as the revenue side. And enough of that on the BKI, you'll see the impact on it, and obviously the continued strength in our balance sheet. So, go and open it up for Q&A now, Nicole.
Operator: [Operator Instructions] Our first question will come from the line of Rommel Dionisio
Rommel Dionisio: Good afternoon. Thanks. Stan, on -- I appreciate your comments and your comments too Tom, on how the industry has obviously seen some dramatic changes here in the last 90 days. So, I wonder if could just talk about -- I certainly get how travel is going to be down, in-person meetings are going to be down, obviously. But, how the industry has changed? And what do you guys see in terms of the ability to do some kind of marketing calls or things remotely, via Zoom calls, Microsoft Team calls? Could you just maybe walk us through how you're adapting, how your customers are adapting to, just in the last few weeks here? Thanks.
Stan Ross: Yes, exactly. So, great question. And one of the things we did start doing and doing quite actively, and I think a lot of our investors are aware of this as well that are on the line or maybe we have a lot of law enforcement investors. But, we are very actively utilizing the Zoom meetings. We utilize any type of webinar that we can put together. But, we're doing it more on a, let's call it more of a national level. We used to sit there and have meetings to where one or two departments or a sheriff's departments would want to know a lot more and you'd set it up that -- a call for them. Because of the magnitude of agencies that are out there and with the new programs that we have launched and the products, we're doing somewhere around two, possibly will be up to three webinars a week in regards to reaching out to the agencies. And what we'll focus on, on each of those webinars, is a particular product. So, we're not doing a webinar and just doing a generic overview of every product that we carry, but more so trying to concentrate on the features that the EVO system may have or the body cameras or even getting into the difference and efficiencies of the -- what I want to say that the different lines of disinfectant and sanitizers that we have and the purpose for those. So, we still have quite a few reps out there in sales support, in the field, but there's a tremendous amount of the marketing is being done here in-house. And so, when we did get everything pushed through as quick as we did on EPA and FDA, and we're able to also get the development of the ThermoVU unit completed, we’re also seeing ourselves needing to add about, 10, 15 additional inside sales personnel. And so, we quickly ran into the need for the new product, and still very, very optimistic. We've got some internal goals on what we believe the Shield products line was going to be able to hit. And it appears that over a 12-month period, what we set out there as our goal, very possibly will happen in the first five months of us having this particular product -- products I should say. In other words, we may hit that by the end of the year. So, it's been quite dramatic. But, the marketing is changed a lot, the way you go about it, the sales support, tech support. We're very fortunate we've -- because of the quality of our product that the failure rate’s been very, very, very low. And even with our new products, very, very little, what I want to say, adjustments or anything that we've had to do or tweak to fix any problems that have been out in the field so far.
Rommel Dionisio: Great. Okay. I wonder if I could just do a quick follow-up, probably more for Tom. So, Tom, on the -- as you move to more of a subscription model, I get the revenue recognition changes, the timing of that changes. Could you just maybe walk us through the -- how that may change the expense recognition to match expenses to revenues, and how that's going to change cost of goods and so forth? Thanks.
Tom Heckman: Yes. Well, you’d still record the net revenue over the time of the contract. So, if it's a one-year, two-year, three-year service agreement, you'd amortize the cost against that revenue during that time period. However, the service revenue has been one of our highest gross margin items, about what, 80 -- no, 74% margins in this past quarter. So, it does help. From a standpoint of a warranty situation, we're already doing that. We ship our products on a hardware sale. We have the two, three, maybe even an extended warranty up to five years that we have to bear the cost. We do the same in the service model. If a unit goes down or whatever during service period, we just replace it or fix it, or what have you. So, our costs are pretty much the same under either.
Operator: Our next question will come from the line Casey Livingston. [Ph]
Unidentified Analyst: How are you doing, Mr. Ross? Good afternoon. Two questions if I may. First in your statement, you’d mentioned that you would cut employees -- the amount of employees to save money, as well as moving to new place. And you just mentioned it in your last question. Now, you're hiring more people. You said something about 15 people in sales personnel. Is it all in sales and some of it manufacturing, making more products? And can you explain to me why now we're increasing the amount of employees rather than cutting?
Stan Ross: Yes, absolutely. Good question. And it's sort of -- obviously, the sales side is because we are seeing a big uptick in regards to the demand in both law enforcement and the new products that we've came out with. So, that is a pretty easy adjustment. In regards to the manufacturing, there are some personnel and purchasing people that are coming on back in that department because of the increase in regards to our law enforcement division. But, as Tom had mentioned, the ThermoVU and some of the liquid side of things we're having to manufactured off-campus and we're just utilizing our software in regards to the ThermoVU. So, don't really need to do anything on those adjustments. But, a lot of it is around the sales side of things. And it is because of the demand. The Shield products side of things, I honestly felt like, we would be running along with maybe three people to start with and then add it as things just started to increase. But again, just the example of the ThermoVU, the state of Kansas and others, I think New York is a big one that -- the temperature reading is such a big, big part of the safety issues that they're looking at in regards to going back to school and going back to work. I mean, we've got everything on the ThermoVU, everything from churches to restaurants, sporting events, schools, city buildings and just regular, what I want to say, companies that are buying this product because they want to make sure the people that are coming in there are not running a fever to where they would be contagious. Whether it be COVID or whether it be everyday flu, they're getting ready to be prepared. It's just a new standard of checks and balances in regards to their employees and their customers. And I know you may have seen it, if not, please email me, we'll try to get you the link. But, they did a real nice story on this particular product. And it was being displayed at a sub shop here in town, called Goodcents. And an individual went there for lunch, went back to where she worked, which was a hair salon and said, this is what we need. The people that are coming here to get their hair done will feel a lot safer knowing that everyone that's coming through there is being tested for the temperature and we don't have to have someone sitting up there or going up there and interrupting things. It's a self testing, easy to do and it lets everyone know. So, the restaurants love it and no pushback on that. Let alone, your doctor's office, dentist's office and like I said, the wide range of entities that are wanting it have us probably looking at maybe a tripling the number of sales personnel that we originally thought.
Unidentified Analyst: Okay. Thank you. I did a quick Google search on one of those the other day, and there's many different companies that are making those. But beside the point, my second question. You and Mr. Heckman have both stated that your Q3 revenue is already higher than Q2. We haven't seen any press releases. There's stuff coming out from other companies, like -- I mean, I know you've spoken in the past about the non-disclosure act -- non-disclosure agreements and stuff like that. But, we really haven't -- I mean, if your Q3 revenue is higher already, how can we haven't seen any press releases?
Stan Ross: Again, our customer base has always been sort of the mom and pops as far as the police agencies, so the smaller entities. We've always had that sort of been a niche that we've had. As you know, I think 80% of all agencies have less than 25 vehicles out there, and probably that is an equal number in regards to personnel as far as body cameras. So, you don't have those earth-shattering, big numbers that just come in all the time. And when you're doing it in a subscription model, granted, we would go ahead and announce something, but at the same time, we did sit there for instance on the ThermoVU unit, we received an order for 500, and we're retailing that product out. Granted, this is a distributor but we're retailing that product out at 1,295 all day long as fast as we can get them. And we have a still have a backorder situation on those units. And so we know what we have coming in, we know what has already went out the door. So, we're very excited about Q3 and what it's going to be doing. But, I don't want to get in a situation -- and I appreciate your question very much. But, I don't want to be announcing a $30,000, $40,000, $50,000 orders all the time. Then, you won't pick up on the big news when big news happens because I'll be just bombarding you with a bunch of little stuff all the time. So, I appreciate your -- the question and I totally understand where you're coming with on that.
Operator: Due to time restrictions, our final question will come from the line of Brian Lubitz.
Bryan Lubitz: Hey guys. How are you?
Stan Ross: Doing good, Bryan. How about you?
Bryan Lubitz: Good. Thank you. Big question I have is, roughly a month ago, we were alerted to the GSA contract, the $12 million military contract. Can you guys expand on that? Have we locked that down yet?
Stan Ross: So, we really can't expand on it too much, Bryan. I mean, we’re out there, we've gotten approvals, and we're still at the whim of the process of the agencies. And that's about really all I can touch on in that regards.
Bryan Lubitz: All right. So, let's say, they do wind up approving everything and we're jumping through all the hoops and it gets finalized, is this something where -- obviously it's sensitive information, it's the military, it's the government, I get that. So, they may have NDAs, but this is something we would definitely wind up seeing on the balance sheet if it consummated with Digital Ally, correct?
Stan Ross: Correct. And it's probably one of those deals we would lobby pretty hard that it is material and would need to be put out there in some fashion. It may be as an unknown end user or something along those lines. But, in my opinion, it would be considered material and it would need to get out there in some way.
Bryan Lubitz: Okay, super. Now, over this past two months, let's just say since you guys ended Q2, you guys -- and you alluded to it early, you guys announced the 600 -- the contracts for asset tracking units, you announced 500 ThermoVUs, contracts with Danville, Delina, Rogersville, Comanche, all of these, I'm not expecting a finite number, but all of these seem to be adding up and over time you're mentioning obviously the disinfectant having a backwater and ThermoVU. Are you guys going to go back to potentially giving us guidance for the second half of this year?
Stan Ross: Well, I mean, we’ve given a little guidance on the quarter-to-quarter, but I think you could see us -- and I think I alluded to where we did sit there and have to sort of pull in our horns, not knowing exactly what to expect in the second quarter, but we did react very quickly in regards to the new products and getting that into the marketplace to where my comment I believe was that I feel like the shortfall that may have occurred because of the COVID-19 and the second quarter numbers that these products clearly could pick up the slack to where the guidance of the $13.5 million that we gave for 2020 should be able to be met. And, I will -- I don't want to take that leap today, but the tealeaves surely have shown a very, very positive reception to the products. And the fact that we have -- Casey made a good question about or whoever gentlemen was it, Casey maybe commented about the other products that are out there, there are other products out there. There's a lot of people out there touting that they can get these products and touting that they can market these products. But, at the end of the day, we're that let's say a company that has that last a 10 feet of sidewalk that goes up to their houses or businesses or jail cells. I mean, we have that direct contact. We have that distribution. We have that relationship that allows us a lot more credibility and access to be delivering these products and getting them into the marketplace. So, I’d like to get a few more weeks underneath my belt. But just keep watching, keep -- I mean, again, I'm not going to be putting nickel and dimes out there. But, when we are landing those 500-unit ThermoVU units or nice $150,000, $200,000, $250,000 contracts, I'll put something out there. But there is a tremendous amount of overall numbers in RFPs that are out there. And I almost want to reach out and go as far as saying maybe the dollar amount, but I don't know that I can go that far. But, it's a big number.
Bryan Lubitz: Okay. Now, let's shift back to the body cameras. And listen, I applaud you guys for bringing these two new products to the table, that disinfectant as well as ThermoVU, because let's face it, the market is calling for that. With the body cameras, we've all seen what happened with George Floyd and the protests and the civil outcry, et cetera. And now that you have the politicians getting involved, we've got 13 states that have made it mandatory. Do you guys feel like when the federal bill gets passed, if that gets passed, that's going to loosen up the jam, the logjam on the funds for you guys to get these contracts done quicker, or for those 13 states, for example, Chicago or New Mexico, I know you guys spoke about New Mexico or Colorado, are you guys making more of an effort to get to those states while we're waiting for the federal money -- for the force that to be turned on, if you will?
Stan Ross: Absolutely. And we clearly are hitting those states real strong and also making sure that if they want to even do something sooner than later with the subscription agreement, we can be flexible on that too. I mean, we’re very fortunate that we have a very strong balance sheet that we can work with departments and are very flexible in wanting to work with them on what their needs are and understanding what their budgets are. So, we are absolutely doing what we can. And like on the webinars, we’ll sit there and like I said, we try to do two, maybe three a week, and you'll have 40, 50 departments on there, or at least representatives that'll be on these webinars. And again, it takes time and we're doing everything we can to quickly follow up with them when they follow up with us as well. So, we've had a lot of things really, really came out of this positive. I’m not going to try to take too much time, but we've had webinars that we've done and within a matter of two weeks, body camera ordered. All in all done, signed, sealed, delivered under the subscription agreement. We did the EVO, that's a much bigger commitment and dollar volume and everything else. Same thing, less than 30 days, all in, signed, sealed delivered. We got us a deal, we're off and running on a three-year contract with them. So, there's things like that that are happening rather quickly. And I don't know if I've told you this too Bryan, but the outpour that you've talked about in the industry is so strong this time around, much, much stronger than Ferguson. We've had individuals call up and say, we would like to buy 15, 20 body cameras for our law enforcement department as a donation that we're going to give to them. And we said okay. And they've literally given us their credit card over the phone and had us ship them, say 20 body cameras that they donated to their law enforcement departments. I mean, it's just absolutely the cry for in-car video and body cameras, in my opinion never been as strong as it is now.
Bryan Lubitz: Awesome, awesome. So there's high demand there. And then the last thing I want to touch base with you and just reference your conference calls from the past, the Shield disinfectant, the ThermoVU, obviously you're looking hospitals, you're looking schools. The schools I would imagine are going to look to disinfect. Here in New York, the kids are going two days, they're off on Wednesday, and then the next two days a different group of kids come in, Wednesday is disinfecting day. What's the traction in terms of getting with the grocery store chains that you talked about or nursing homes and things of that nature? How are we to expect in terms of -- is it a matter of you guys can't produce enough of it to sign these contracts or are these things that you're eventually going to knock down one by one?
Stan Ross: Well, addressing the products, the ThermoVU is a challenge. Those numbers have been big. And as you know, we've made some pretty big announcements out there on that. And we still have a backlog of orders that we're trying to fill. But, it does look like we start getting product in, on almost a weekly basis. We dumped the software on it, make sure everything's working correctly, and it goes right back out the door. So, that looks like we have a shot at catching up. But, at the same time, there's some numbers out there in regards to where there's actually federal money, again, available for this type of protection for schools and hospitals and others that are coming into play that we just have to make sure that we are very -- what I want to say, aware of it and prepared to react to it, so that we can take advantage of it. But, as we internally did, as I mentioned, we set a year goal on this product, and it's -- and what we believed it could bring to the table. And I will be surprised if we don't accomplish that goal by the end of this year, so in roughly a five-month period of it being available. In regards to your disinfectants that are out there, and the hand sanitizers and things along those lines, again, this product has no chemicals, no alcohol, it is a natural product that is food safe is the best word to use. I mean, you can spray it on your food to help with the bacteria, mold and stuff like that to help. And so, that product is getting a lot of traction as well. The education side of it, of this product being a little more expensive than those that are chemical laced is a little bit of a learning curve. But the church that we're dealing with, there's a very large Catholic Church that's buying the product, they totally understand it. And they don't want any chemicals and the jails don't want chemicals. You don't want to sit there and have a product that's got a bunch of bleach or ammonia and then it have -- someone get a hold of it and throw it into copper, or inmate or whatever space. This is a very, very effective disinfectant that is on the lowest level of toxicity. And so, yes, we have great expectations on it as well. But right now, like I said, we're doing everything we can on a daily basis, just trying to meet the demand on law enforcement side as well. So, we're running two parallel paths that seem to be running very fast on both ends.
Bryan Lubitz: All right, good stuff, guys. Good luck to you in the third quarter.
Stan Ross: Thanks, Bryan.
Operator: With that, I'll hand the conference back for closing remarks.
Stan Ross: Well, again, I'm sorry, this is such a short call. But, we did want to go ahead and get to as quickly as we could to field the questions that were out there. Hopefully we've covered them all. And with the 10-Q being filed just a few minutes ago, I guess, it was filed, or you did this morning? You got it out? Okay. There ought to be -- go through that. It's going to help understand a lot about the Company. And if you have any questions, feel free to shoot us an email, pick up the phone, call us. We'll do our best to be able to respond and do the best we can to continue to build this Company for us all. So, thank you all so much for your time. And, we’ll look forward to talking again in the near future. Thank you.
Operator: This does conclude today's conference call. We thank you for your participation and ask that you please disconnect your line.